Andrew Cole: Good morning, everyone, and welcome to the Third Quarter Report for OZ Minerals. I'm joined here today by Bob Fulker, our Chief Operating Officer, who many of you know; and Akhilesh Pai, our Group Manager, Business Planning and Reporting. For those of you who have joined us before, today will be a little different as Akhilesh will be presenting the financials in the presentation today, while we finalize the recruitment for our new CFO. Today, we'll start with an overview of our 2017 quarter 3 performance, a brief update on how our projects are tracking, then as usual, we'll open up for questions. Please take a moment to note our usual disclaimers and compliance statements over the following couple of slides. So let me talk about our growth strategy once again. It has been a strong quarter for OZ Minerals in Q3. The team have done well, I think, and I'm pleased to say that the quarter's performance is in line with the expectations we've set at the beginning of the year. Our announcement in August of Carrapateena's development is a major deliverable against our growth strategy and is aligned with all aspects of the strategy we put in place some 2.5 years ago. Our lean and agile approach continues to be applied across the business, and we continue to seek innovation in areas that drive results. It's this core that is helping us to live up on our strategy reliably. It's been a busy year for OZ Minerals, and this quarter has been certainly no different. We've seen a positive development at both Prominent Hill and at Carrapateena as well as growth in our cash balance after significant payments during the quarter, despite a significantly higher receivable. At Prominent Hill, the underground performed strongly, with production up 15% and unit costs down 21% compared to the prior quarter. All other guidance remains on plan or is ahead of plan. Demobilization at the open pit at Prominent Hill is also underway. More to come on this a little bit later on in the deck. You will have also seen from our announcement in September that Phase 1 construction of Carrapateena, one of Australia's largest undeveloped copper resources, is underway. At West Musgrave, we've completed a comprehensive metallurgical assessment and we'll be in a position to decide whether or not to progress the project by the end of this year. Work has also progressed on our exploration projects with a number expected to be drilled through this quarter. In the quarter, we developed an accelerated mine plan for Prominent Hill, which will bring forward open pit closure to the first quarter now of 2018. This creates a net fixed cost saving of about $10 million over the remaining pit life. We have accordingly revised our 2017 open pit unit mining cost guidance downwards to $7 to $7.25, down from $7.25 to $7.75. This represents a reduction of about 5%. All other guidance remains on track. Pleasingly, our underground production of Prominent Hill has increased by 15% and unit costs decreased by 21% on the prior quarter. In August, the team broke through with their second decline into the open pit, enabling productivity and efficiency gains as the underground works continued to enable our production ramp-up to 3.5 million to 4 million tonnes in 2019. You would have also seen from our announcement in August that construction work has started on Phase 1 construction at Carrapateena. Considerable progress has been made with key contracts finalized and orders placed for long-lead items associated with the process plan. The declines are now in the Woomera shale, and we have developed an efficient cycle of blast, bog, rapid shotcrete and support to maintain a steady pace, with decline development now totaling over 3,000 meters. At West Musgrave, we've completed studies on the resource and the geotechnical modeling, metallurgical testing and process plant design. We intend to make a decision in the middle of this quarter on progressing the project to the next stage, which will be a PFS level of definition in collaboration with our partners, Cassini Resources.  The quarter also saw our cash balance increase to $639 million up from $625 million in quarter 2. Overall, this has been a strong production and costs quarter that has seen us take full advantage of copper price increases to grow our cash balance while starting work on enabling infrastructure at Carrapateena. Let me turn to our social performance. It's encouraging to see a continued improvement in our safety performance at Prominent Hill, with -- now with over 100 days recordable injury-free during the quarter recorded, and now a record-low TRIFR. We saw a 22% decrease in Total Recordable Injury Frequency Rate per million hours worked at the end of September 2017, comparing favorably to the end of the prior quarter. Our move to the Adelaide Airport business district in mid-2018 was finalized this quarter. The new office will reflect the next phase of our growth, providing a modern work environment that will improve collaboration and reduce head office leasing costs by about 40%. One of the things we are proud to have achieved in the quarter was the passing of the vote on the Native Title Mining Agreement for Carrapateena by a simple majority in a ballot held at a community meeting in Port Augusta, which was attended by about 150 Kokatha common-law holders. The NTMA was registered in August. We've also now received state government approval for the construction of the airstrip and the village, which enabled us to commit this works for Carrapateena. We were also very pleased to be part of the University of Adelaide-led research consortium, which was launched in Q3. As an industry partner of the consortium, the research will help us gain insight into increasing the certainty on mill feed to deliver predictable performance. I'm now going to hand over to Akhilesh and ask him to take us through the company's cash position.
Akhilesh Pai: Thanks, Andrew. Good morning to everyone on the call. Our cash balance at the end of September was $639 million, which is a net increase of around $14 million. This was after dividend payments, which we made in September, amounting to $18 million. The receivables balance at the end of September was abnormally high due to the timing of shipments, and since the end of the month, we have received around $100 million from our customers. With such strong cash generation from Prominent Hill, we are well-positioned to pursue the development of Carrapateena, which the board had approved during this quarter, and other value-adding growth opportunities, which we have in our growth pipeline. Following board approval in August, development and procurement activity at Carrapateena are ramping up. And during the quarter, we incurred around $24 million in capital expenditure. Further details of this will be dealt with in the Carrapateena segment later in the deck. Cash expenditure was incurred during this quarter pretty late, around September. Only $12 million was paid out, and the remainder of the $12 million still remains within the trade payables, which has increased compared to the prior quarter. We also increased our open pit ore stockpile during the quarter, which resulted in the cash investment of $17 million. As we accelerate the open pit mining, this investment into ore stockpiles will continue into Q1 2018. And from Q2 2018, we'll be drawing this down and expect to generate significant cash flows. As noted earlier, the interim dividend amounting to $18 million was also paid out in September. And if you note, the waterfall chart also discusses the investment into the CTP of $5 million and around $3 million in progressing the West Musgrave studies and other exploration and development activities. An additional 18,000 ounces of gold were hedged in the quarter, bringing the total amount of gold and ore stockpiles hedged to around 255,000 ounces, which provides pricing certainty to us for gold revenue of approximately $440 million that will be generated from sale of gold produced on these stockpiles. In summary, this has been another strong quarter where we've executed to plan and remain on track and to delivering on all guidance metrics. With this, I'll hand you back now to Andrew.
Andrew Cole: Thanks, Akhilesh. So let's turn to Prominent Hill, the operating asset in Northern South Australia. Prominent Hill continued to deliver reliably and consistently, but we also continue to look for opportunities to maximize the asset. This strong performance from Prominent Hill saw production of nearly 29,000 tonnes of copper and just over 29,000 ounces of gold during this quarter. Pleasingly, in the open pit, the cable bolting and buttress remediation program was successfully completed. There's been no further movement in the pit wall since this program was completed a few months ago. As mentioned briefly before, we've developed an accelerated mine plan for Prominent Hill, which will bring open pit closure now into quarter 1 2018. As a result, open pit unit mining cost guidance for this year had been revised downwards to $7 to $7.25, creating a net fixed cost saving of about $10 million over the remaining open pit life. This accelerated mine plan also places us in a position where we're likely to reach the top end of our guidance range of 15 million to 20 million tonnes open pit total material movement for the year. Another strong quarter from the underground team saw a 15% increase in tonnes hauled on the prior quarter. This was driven by more development in stoping ore and less development waste, mobilization of a couple of additional haul trucks and a month availability of the second decline. The second permanent access decline, as I've said before, broke through in August, on time and on budget, supporting increased hauling rates. The expected production ramp up to 3.5 million to 4 million tonnes per annum in 2019 is continuing to plan. The Malu pump station procurement and installation commenced this quarter and will continue through this quarter 4, contributing to an increased capital spend from the underground. If approved by end of the year, we will see us reach our capital guidance, as already issued. On the processing plant, we milled 2.6 million tonnes for the quarter, achieving a 7% increase over quarter 2. We scheduled this -- we completed the scheduled concentrator shutdown safely and on time and on budget. The next shutdown for the processing plant at Prominent Hill is scheduled for January 2018. Following recent reviews of preventative maintenance strategies covering key infrastructure assets in the plant, the first of the improvement outcomes were implemented during the quarter. Our data analysis and predictive analytics project is also underway with a 3-month scoping exercise using plant data to identify operational improvements for improved plant parameters. And lastly, the tailings storage facility lift is progressing well, with completion expected in budget in quarter 4. So Akhilesh now will talk through the cost performance of Prominent Hill.
Akhilesh Pai: Thanks, Andrew. Now turning to Prominent Hill cost performance. The C1 cost for the quarter of USD 0.91 were higher than the previous quarter by about $0.10, which was a result of higher processing costs and lower byproduct credits. We have lower mining costs, which are following the demobilization during that quarter, but that was largely offset by consequent reduction in deferred mining and ore inventory adjustment. With a year-to-date C1 cost of $0.90 per pound, Prominent Hill remains on track to be within full year guidance of $0.85 to $0.95 per pound. During the quarter, the planned increase in underground development CapEx and the one-off TSF lift contributed to the all-in sustaining cost of USD 1.36 per pound for the quarter, which was up from USD 1.15 per pound in the previous quarter. Open pit mining unit cash costs in Q3 of $7.45 per tonne were higher than the prior quarter of $6.52 per tonne, which is aligned with the open pit, pit demobilization, which result in lower material movement and consequent lower cash incurred in the open pit, but resultant higher unit costs. As noted earlier by Andrew, the opportunity to accelerate open pit mining and closure by Q1 2018 is expected to result in net savings of around $10 million in fixed costs, with a resultant benefit to the unit costs. Underground operating costs of $45 a tonne mined were lower than the prior quarter of $57 a tonne, with approximately 15% more tonnes mined. There's also less fill which was placed during this quarter and more capital development connected to the second decline. The benefit from this second decline will enable increased metal production and will continue to positively impact unit costs and production. With another quarter of consistent performance, Prominent Hill remains on track to meet all annual cost guidance. And with this, I'll hand back to Andrew.
Andrew Cole: Thanks, Akhilesh. Okay, now, let's turn to Carrapateena. It's been, certainly, a very big quarter for the Carrapateena project, with the OZ Minerals' board approving construction. Also, the state government issued the approvals for the construction of the airstrip and the village works to commence, which was very good news. As such, from here on, we will provide progress reports on Carrapateena in each of our quarterly reports. Development of the Carrapateena declines are progressing to plan, with total development now over 3 kilometers. We see it having our vertical -- we see this having a vertical depth of about 219, 220 meters. This puts the Tjati decline at just over 1,500 meters of face. The second decline broke through in the quarter to the completed box cut, providing the primary ventilation circuit and improving both access and egress. And on the slide, you can see a photograph of the new ventilation fans, which have already been installed. We continue to boost the capability of the Carrapateena project team through the recruitment of experienced cave operations and technical personnel. We've successfully brought on-board a number of high-caliber, experienced staff from comparable mining operations. And just to pick a couple of those, our new superintendent, projects and operations, has large-scale project delivery and caving experience from OD, [ Helfa ] and Cadia East block cave. His background includes establishing new mines, operational readiness and cave management and carrying out construction survey, inspection and test plans. Our new principal engineer, long-term planning, has assisted in the delivery of Cadia East block cave, and most recently, carried out strategic mining and cave optimization studies. We've also brought on another 4 people of similar caliber to these.  Geotechnical drilling and test work for the underground ventilation circuits is underway, and installation of the portal primary fans was completed, as I mentioned. With regards infrastructure development, following state government's PEPR approval for the airstrip and accommodation village, mobilization of the construction workforce is now underway. We've already purchased a pre-owned 550-bed accommodation village and expect this to arrive on site this month. Preparatory groundwork for the airstrip and village has commenced. As you know, we will be taking a 2-phase construction approach, which serves to smooth and lower on-site construction personnel, enabling us to reduce the camp size by some 30%. In the quarter, a partnering agreement was also signed with international engineering procurement construction firm, KBR, to assist us in project execution. Orders for long-lead items were authorized during the quarter and placed in October by the Ausenco Downer joint venture. The scope has been finalized for the process plant and on process infrastructure contract. Further water drilling commenced in the Northern Borefield and will continue through this quarter. Alignment on the Western Access Route has also been agreed with local stakeholders and the Build Own Operate Maintain contract with ElectraNet is progressing well. On cost, we've an estimated preproduction CapEx of AUD 916 million for Carrapateena, as you know. This includes the cost of the plant and the airstrip, camps, site infrastructure, development of the declines to the top of the ore body, first crusher and the conveying system up to that crusher. Expenditure for Q3 relating to the Carrapateena project was just under $24 million. Most of this spend was on the enabling infrastructure that makes up Phase 1 of the project. The coming months will see us continue with construction activities on the village and water exploration. We'll also start the engineering and manufacture of long-lead items and the construction of airstrip. This will likely see us spend another $40 million to $50 million in Q4. On the schedule, this chart, at a high level, is of the works we have planned and is the same chart we included in the FS update report. And we'll use this each quarter to keep you up to speed on the progress of the project. Let me now turn to West Musgrave, one of the longer lead, the quite promising projects in our portfolio. At West Musgrave, we've completed the remaining studies with the mine optimization and design work in its final stages. The met test program designed by GR Engineering, has demonstrated that separate saleable copper and nickel concentrates can be produced, and that reasonable recoveries can be achieved at even half lower grades than the previous studies. We've also completed the process plant designs, with alternate processing options considered and magnetic separation proof of concept demonstrated, the latter which may be considered a potential opportunity for us. The mineral resource at Nebo and Babel has been updated by Golder Associates, and results will be released at the conclusion of the scoping study. The Succoth mineral resource remain unchanged with no new drilling to date. A geomap model of Nebo and Babel was also completed following the completion of the test work. The mining study by Mining Plus is well-advanced, with several open-pit mining scenarios to support a large scale of process plant being considered. The mining study and financial analysis are expected to be completed this quarter. Once all these studies are complete, we will review them before considering whether to progress to the pre-feasibility study stage. We expect this decision to take place this quarter. If we do decide to progress, OZ Minerals will earn 51% by the end of the phased work. Expenditure on West Musgrave project for Q3 was just under $1 million. Let me give you an update on a couple of the strategic projects that we're working on in the company, and the first one is power. Elements of our power strategy are being progressively developed and implemented. Our company-wide power strategy looks at ways to ensure the security of supply and manage cost of power supply. This includes a range of distribution and generation options that remains subject to commercial negotiations. Commercial negotiations are underway to enable dispatch of emergency diesel generation at Prominent Hill only as a backup. A new OZ Minerals Gawler Craton independent power transmission solution design is well-progressed, and this is supported by an existing energy solutions framework with ElectraNet.  We'll release more on this once the commercial discussions have progressed. In parallel, renewable energy options are currently in design, and a range of energy-saving programs are underway. At Carrapateena, electricity prices are expected to be negotiated in late 2018, early 2019. Development approval was received to enable construction of the new substation at Mount Gunson, which enables the Carrapateena power supply, and BOOM negotiations for the overhead transmission line from Mount Gunson to Carrap are progressing to schedule. Just briefly on CTP. We provided an update on the CTP in August, but the program and the project scope of the CTP design has been expanded to now include both Prominent Hill and Carrapateena concentrates. The team's focus remains heavily on reducing costs by simplifying processes, reducing infrastructure needs and minimizing both reagent consumption and waste production. Port Augusta remains our preferred location, with baseline environmental monitoring and government approvals processes well underway. Trade-off studies on other locations are also being progressed. Expenditure for Q3 relating to the Concentrate Treatment Plant was about $5 million. Lastly, let me turn to exploration and growth. As with previous quarters, in the interest of time, I'm going to speak to a summary of this, but included in the slide deck is a summary for each of the projects we have underway. Our partner at the Intercept Hill project, Red Tiger Resources, undertook further geological and geophysical interpretation of the data derived from the initial 3 drill holes drilled last quarter. A fourth target was subsequently identified, and heritage access agreements were secured. Drilling is anticipated to begin early this quarter. The collaborative venture with Minotaur Resources on the Mount Woods project near Prominent Hill, in that work, they completed over 70 line kilometers of EM on the Skylark Shear Zone, which is just northwest of Prominent Hill. This identified 4 targets to be followed up with drilling, which is expected to commence this quarter. After the successful identification of copper-gold mineralization in the North of the Eloise project in Queensland, the focus has now moved to the southern portion of the license, which are known to host the eastern flank of the Levuka Shear Zone. Our partner, Minotaur Exploration, completed a 90 line kilometer EM survey, which has identified a number of large conductors. A diamond and RC drill campaign to test 4 EM targets has already commenced this month. No work was undertaken on the Coompana project as the company awaits the completion of the scientific drill program sponsored by the GSA, in conjunction with Geoscience Australia. Ground geophysics programs and magnetic gravity on the Alvito project in Portugal was approximately 80% complete by the end of the quarter. The extensive surveys have highlighted numerous targets, including some good gravity anomalies that coincide with key geological contacts. The targets have been followed up, with detailed geological mapping. Planning is now underway to drill priority targets in early 2018. Geological mapping and sampling continued at the Oaxaca project in Mexico. The venture which is targeting VHMS-style mineralization has successfully identified areas of extensive hydrothermal alteration at surface. Priority targets will be followed up with further mapping and geochemical sampling, and a ground-based geophysics program in quarter 4. Drill permitting will then commence shortly after. Expenditure on exploration for the quarter was about $4 million. With that, I'm going to wrap up the presentation and hand the session over to the operator. So Bob, Akhilesh and I can be available to answer your questions. Can you please remind people how to ask questions, operator? Thank you.
Operator: [Operator Instructions] Your first question comes from Lyndon Fagan from JPMorgan.
Lyndon Fagan: Just a quick one from me. Just hoping to understand the $5 million spent on the CTP in the quarter. Is that sort of a run rate that we should think about going forward? And given that there's no plans to build it in the foreseeable future, what sort of budget should we be thinking about annually for that?
Andrew Cole: Yes, Lyndon. No, the $5 million is probably a little bit higher than what we will see as a run rate. We  would undertake quite a number of parallel physical tests, bench-scale tests during the quarter, so that number will come down. The next update we will give you on CTP will be quarter 1-ish, probably towards the end of that, in 2018. So I'd assume a lower run rate up until that point, after which we'll give you some guidance.
Operator: Your next question comes from Peter O'Connor from Shaw & Partners Limited.
Peter O'Connor: Three questions. Firstly, power. It piqued my interest that your costs were up because of power at Prominent Hill. Just exactly what proportion was cost and how should I think about that impact over coming quarters? The second question is just about receivables. That unwind you talked about at -- the build at late quarter, but the unwind early this quarter. Just could you rerun those numbers? I just missed the latter part of that. And lastly, for Rob. The decline, just lessons learned now you're in the shales. I know, Andrew, what you said about the process you've done, but any further color on that? And also, the fans, they are the permanent fans. Is that correct?
Andrew Cole: The -- sorry, Peter.  What are permanent fans?
Peter O'Connor: Just the fans -- I know the permanent fan installation, it sounds like it's related to construction fans or...
Andrew Cole: Sure, okay. Look, I'll ask Bob to answer the decline question now, and the fans ventilation. And we'll come back to your power and receivables questions.
Bob Fulker: Thanks, Peter. Just in the shales, the big lessons that we've learned with regard to mining through those is just time dependency. We need to get the shotcrete up ASAP after the decline. So getting that cycle working properly, and as Andrew said, getting that rapid reentry time was critical to enable that time dependency not to become a determining factor of advance rate for the decline. The shales are actually behaving at the moment quite nicely, we're successfully mining from -- with that cycle. The fans themselves, they were put in until we get down to the first major return installation. So that will likely be put on installations for the next 24 months plus. They will -- they have been installed so that we can put the conveyor through. You'll see on the left-hand side of the picture, there's an area for a [ copper ] seal for the conveyor to go through. So the actual design has been made such that we can actually install the conveyor without removing the fans. Long term, I'd expect that we'd have some ventilation going up that decline as a return, we won't need to hold 3 fans though.
Andrew Cole: Let me come back to power, Peter. So the change in context between last quarter and this quarter is we've kicked into our new power price -- power purchase agreement for power for Prom Hill. So -- and we flagged it some time ago. So these numbers are factored into our cost guidance already because we had this agreement organized in the last year for Prom Hill. So on the cost performance chart that you see in the WebEx, there is a $0.058 per pound impact in the processing costs, that's site processing costs. Nearly all of that is attributable to that power contract. So that's effectively the see-through impact of power on the processing costs of Prom Hill. And your last question on receivables, I'll ask Akhilesh to answer that for me.
Akhilesh Pai: Peter, the receivables that we have were higher during this quarter. We tend to see a receivables balance of around $70 million to $80-odd million in any given quarter, which reflects the shipments that we make during any given quarter and the payments that we received from customers. Essentially, what happened was during the September quarter, we ended up having back-ended shipments, which were later during the month, of which we have received about $100-odd million already at the time of this report. So that's really what it was. It was a timing of shipments more than anything else. Does that answer your question?
Peter O'Connor: Yes, perfect.
Operator: Your next question comes from Michael Slifirski from CrÃ©dit Suisse.
Michael Slifirski: I'd like to understand, please. With the cessation of the pit in -- at the end of Q1, what does that do to the spread of sort of fixed costs for the site over the rest of the operation? I'm trying to understand how many costs disappear because you get rid of the -- that sort of mining overhead. And just how that sort of pans out, it's not clear in my mind, please.
Andrew Cole: Look, I'll -- do you want to talk about the change that's going to happen in Q1 first, Bob? The demobilization of the pit and how it's going to look.
Bob Fulker: Thank you, Michael. Just on the operation itself, the lift, the guidance I've done is actually increased or sped the mining rate up to bring the demobilization forward from the middle of the year to some time through Q1. Doing that has actually reduced our overall fixed cost for the open pit, and it has allowed us to actually speed up the mining rate. Consequently, the dirt and we were -- all the tonnes that we were planning to mine through that period will -- some of it will go on the stockpiles and will be treated as we get into the further areas of the underground. The -- do you want to answer the second question?
Andrew Cole: Yes, I mean, Michael, we put -- in this presentation, we said that by changing -- demobilizing the open pit in the quarter early, we're going to save in a net cost of about $10 million, and that's entirely related to removing the fixed cost component effectively of the contract that we have with Thiess and the [ ancillary ] peaks that go with it. So you'll see that change happen next year. Now we haven't issued, obviously, cost guidance for 2018 as yet, but there will be some organizational changes that need to go along with removing the open pit component of the work at Prominent Hill. But you need to remember we've still got very large stockpiles, so we will still need the costs associated with handling and feeding those stockpiles into the crusher and the maintenance programs that go around that. We also need to keep our open pit in good shape and the water through the life of the underground operations. So there will be cost elements associated with that. But look, I can't answer your question specifically, because that will come out with the guidance that we issue very early next year for next year.
Operator: [Operator Instructions] Your next question comes from Dylan Kelly from CLSA.
Dylan Kelly: Two questions from me in relation to power. So you say -- appreciate you gave us some detail there around what the Prominent Hill processing cost has come up by. Just curious to know a bit about what's actually changed with the contract that you've been able to renegotiate. I know that you said it was in commercial in confidence, but can you tell us about the latest contract in terms of how it compares relative to your previous cost escalation estimates of the duration of the contract? And just how that  -- just give us some more color around the state of that arrangement. The second one I've got is just around you mentioned that you've got a diesel solution as a backup only. Just trying to get my head around exactly how quickly that could be activated. Do you think -- are you in a position to bring that forward if there was, say, shortfalls in power during the peak summer months?
Andrew Cole: Yes, Dylan. Okay, so a couple of things here. First, on power. So we foreshadowed right at the beginning of this year that in the middle of 2017, we would change price points for power, if you like, at Prominent Hill because our former PPA ended in mid-2017. The new PPA, which we entered into a year or so ago, or 9 months or so ago, built that into the guided costs for this year. And what you've seen in this quarter is a reflection of that new PPA. Now I'm trying to think of what we said at the time. I think the power price increase between the last PPA and this PPA was -- what was the number? 60%, I think, was the number...
Bob Fulker: I think that's [indiscernible]
Andrew Cole: I think that was the number, it was about 60% increase between the last PPA and this PPA. Now this PPA only goes to the end of 2018, and the reason we've entered a short PPA is because our view is that we are in the middle of a transition in power pricing and supply in South Australia and, indeed, Australia, to be honest. So we will look at a new power purchasing agreement for Prominent Hill some time next year, and then we'll need to decide over what terms we'll put that in place. But between now and the end of next year, that 5-point something cents per pound that you see in the processing costs of Prominent Hill, obviously, will be the new standard, if you like. So -- and that will exist right through the end of next year. Does that answer your question, Dylan?
Dylan Kelly: Yes, that helps a lot, that's great. And for the diesel?
Andrew Cole: Look, yes, for diesel. Look, this is an interesting one. So the cost impact of Prominent Hill of losing power for x hours per day or whatever is actually not that substantial. The cost of that to us is effectively the time value of the lost revenue, really, that's not much else. So we're not putting -- we're not going to construct the backup diesel generation to keep the operation running through blackout. It just does not make sense. Now if there was to be an extended period of blackout, what we're putting in place is the commercial arrangements to allow us to bring emergency generation to Prominent Hill if we have to. But it would take a long period of time, several weeks plus, I would suspect, for us to actually justify bringing permanent diesel generation to Prom Hill because it just doesn't make sense to do so in a short -- for short blackouts. We manage through short blackouts well, and the team demonstrated that a couple of years ago, or a year or so ago. We have enough power on site now to wind down the processing plant in control, so we can clean out lines and we could start it up very quickly. We could keep the fan going underground. So we can keep the operation going reasonably well to allow us to ramp up very quickly when the power does come back on. So we actually don't see short-term blackouts as a critical threat to us at all.
Dylan Kelly: Okay. So just in the context of what the regulator has been discussing around during peak summer days of 2 to 4 hours. That sort of length of duration in some sort of consistency is not necessarily going to be that adverse in terms of overall, either underground or for the mill?
Andrew Cole: That's correct, no, that's absolutely correct, Dylan. The other thing I would say is that the state government here is doing all sorts of things to prevent blackout. As you probably know, the South Australian government is going into an election next year, so I suspect there'll be a reasonable correlation between the length and number of blackouts and the success of that election. So preventing blackouts through the batteries, the system that they're installing here, the emergency generation capacity they're putting into the state, are all aimed at preventing blackouts, which of course has a benefit to us.
Operator: Your next question comes from Sophie Spartalis of Merrill Lynch.
Sophie Spartalis: Sorry, another question on power. Can you just provide some color in regards to the discussions with BHP in regarding to optimize the joint power transmission? And just further to the questions that have already been asked on power. Just in terms of the supply, are you concerned at all around the future supply of power or it's just a matter of pricing now going forward for both Prominent Hill and Carrapateena?
Andrew Cole: Yes, Sophie. Look, we've talked about this before, and I'd love to give you a little bit more color on some of the depth of the solutions that we're putting in place. But I -- they're just -- they're commercially sensitive at the moment so I can't do that, but we will soon. So you've got to break this question up into multiple pieces because it's not one answer to the whole thing. So Carrapateena right now has got transmission secured for Carrapateena. So Carrapateena is only a pricing conversation. And we think it's the wrong time to lock in price for Carra, which is why we're waiting until some of the transition and some of the debates and policy decisions which are being debated at a federal and a state level are being had. Our view is that, give it a year or so, and we'll have much more directional certainty. And certainly, when you look at long-run price forecasts for power, we're starting to see reductions in those long-run price forecasts. So it does all hang together. So Carrapateena is just about price, and we're going to wait a year or so before we start locking in price. Remembering we only need power over a good connection at Carrapateena until mid, early 2019, quarter 2 or something, thereabouts I think it is. So Prominent Hill -- so let's move to Prominent Hill now. Prominent Hill is about transmission and price. So currently, we use -- we share the transmission line that goes through OD to Prominent Hill. We are still having commercial negotiations with BHP about the use of that line over the next few years. But separate to that, we've been working on a standalone solution for Prominent Hill for some time. And one of the options that we are looking at is a standalone infrastructure corridor for Prominent Hill, and we'll be able to talk more about that a little bit later on once we get some of the details sorted out. And then on price for Prominent Hill, we're locked in, which we've just had a conversation about, until the end of 2018 on the price point. And similar to Carrapateena, our view is that -- well, our hope is that we will see lower prices from what we're currently paying at Prominent Hill as we start to negotiate PPAs next year for 2019 plus, once we get through some of the challenges that the state and the country is working through on power generally. Does that answer your question, Sophie? I know you'd like a bit more color on our permanent solutions for Prom Hill, and we will give them to you, but I just can't give them to you yet until we finish some of the commercial negotiations.
Operator: There are no further questions at this time. I'll now hand back to Mr. Cole for closing remarks.
Andrew Cole: Okay, thanks, operator. Thanks, everybody, for joining the call. Look forward to talking to you again. As usual, if you have any questions, please give Tom a call, and we will get the right people in the room to answer them for you. Thank you.